Operator: Hello, everyone. Thank you for attending today's Wolfspeed Incorporated Q2 Fiscal Year 2025 Earnings Call. My name is Sierra, and I will be your moderator for today. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. [Operator Instructions] I would now like to pass the conference over to our host, Tyler Gronbach, VP, External Affairs.
Tyler Gronbach: Thank you, operator, and good afternoon, everyone. Welcome to Wolfspeed's second quarter fiscal 2025 conference call. Today, Wolfspeed's Executive Chairman, Tom Werner; and Wolfspeed's CFO, Neill Reynolds, will report on the results for the second quarter of fiscal year 2025. Also in attendance is Jay Cameron, our Head of Power Devices; and Rick Madormo, our Head of Sales and Product Marketing. Please note that we will be presenting non-GAAP financial results during today's call, which we believe provides useful information to our investors. Non-GAAP results are not in accordance with GAAP and may not be comparable to non-GAAP information provided by other companies. Non-GAAP information should be considered as a supplement to and not a substitute for financial statements prepared in accordance with GAAP. A reconciliation to the most directly comparable GAAP measures is in our press release and posted in the Investor Relations section of our website, along with a historical summary of our other key metrics. Today's discussion includes forward-looking statements about our business outlook, and we may make other forward-looking statements during the call. Such forward-looking statements are subject to numerous risks and uncertainties. Our press release today and the SEC filings noted in the release mention important factors that could cause actual results to differ materially. Lastly, please note that all numbers presented today will be on a continuing operations basis. During the Q&A session, we would ask that you limit yourself to one question and one follow-up so that we can accommodate as many questions as possible during today's call. Also, any discussions surrounding our work to strengthen our balance sheet at least initially will take place pursuant to confidential non-disclosure agreements. And therefore, we will not be addressing any specific questions on balance sheet initiatives involving Renesas, our convertible notes or Apollo during the Q&A session. If you have any additional questions, please feel free to contact us after the call. And now, I'd like to turn the call over to Tom.
Tom Werner: Good afternoon, and thank you for joining me today. By way of introduction, I have been a member of the Wolfspeed Board for 19 years and have served as Chairman of the Board before assuming my current role. Throughout my years with the company, I've had the opportunity to support the business in its transition into an established leader in silicon carbide, and have developed a solid understanding of the business, the technology, employees and the market. Since stepping into the role as Executive Chairman in November, I've dedicated my efforts to examining every aspect of the company with a fresh perspective, aggressively executing against our plan to achieve our financial and operational targets and ensuring we are intensely focused and accountable to improve financial performance. I have visited both Mohawk Valley Fab and the Siler City locations multiple times. I'm impressed with the advanced capabilities of both facilities and with the Wolfspeed teams that run them. This work is reaching the first phase of completion and it is now time to leverage the advantage of these facilities. With that said, it is critically important that we continue to execute on the plan that was outlined on the last earnings call in early November to accelerate our path to profitability and optimize our capital structure. This will allow us to leverage the best-in-class assets and capabilities we have already built and capitalize on the long-term opportunities that lie ahead. I, the Board and the management team have aligned on an operating plan driven by the key priorities that will be our focus over the coming months. We believe focusing on these priorities in the immediate term will put Wolfspeed on a path toward long-term growth and profitability. First, we must dramatically improve the financial performance of the company and accelerate our path to generate positive free cash flow. Second, we will continue to take aggressive steps to strengthen our balance sheet. And third, we will continue our efforts to raise cost-effective capital required to support our long-term growth plan. Work on these initiatives is well underway, and I'd like to share some of the progress we've made thus far. By focusing on our purpose-built 200-millimeter greenfield facilities, this is an opportunity to simplify our operating footprint and focus on best-in-class execution to improve our financial performance. We are continuing with the closure of our Durham 150-millimeter device facility and the closure of our 150-millimeter epi Farmers Branch facility. We expect all these actions to be completed by the end of this calendar year supporting our plans to lower our breakeven point and accelerating our path to profitability. In addition, we are maintaining our outlook for reduced CapEx levels for fiscal 2025 at a midpoint of approximately $1.2 billion. This level of CapEx allows us to continue to grow the top-line while maintaining the capability to ramp supply rapidly should a sharp turn-in demand materialized. While we also minimized cash use for the remainder of fiscal 2025 to achieve our previously stated profitability goals. We expect further CapEx commitments to be close to zero. I credit the team with having the foresight to build these greenfield facilities in a modular manner, thereby allowing us to easily flex CapEx spend up and down with market dynamics. However, we reiterate that for now, we have adequate supply to service current demand from our customers. We have also started work on additional cost reductions that will further reduce our breakeven point. We expect to start implementing these during fiscal Q3. We will focus on operational efficiencies, lower manufacturing costs and stricter cash management. This will result in the restructuring of several supply contracts, securing additional savings going forward. Regarding our second initiative, our work to strengthen the balance sheet continues. We're scrutinizing every investment across the company to lower our cost structure and capital requirements, helping to accelerate our path to profitability. We are working closely with Apollo to look at ways to improve our overall capital structure and Renesas to account for the current market dynamics. In addition, we've also begun the work to address our convertible notes. We will be working with the financial advisers to advance these efforts in the very near term. Our plan is to complete this work as quickly as possible. Turning to the US government support, we're working to finalize both direct funding agreement announced last October and the disbursement of certain CHIPS Act related cash tax refunds. We're optimistic about achieving a definitive agreement particularly after completing our $200 million ATM earlier this month, an important milestone in the CHIPS funding process. We maintain frequent, constructive dialog with the CHIPS program office, narrowing the remaining milestones to reach a final arrangement. We believe that the recent OMB memos issued this week do not impact our anticipated timeline to receive the first tranche of CHIPS Act funding in mid calendar year 2025. We are actively monitoring the situation as it evolves. As part of our tighter cash management, we plan to have close to zero capital commitments until we have a direct funding agreement signed with the CHIPS program office. With existing committed capital, we will still complete construction at the JP and have the wafer capacity to support the continued ramp at Mohawk Valley. Our congressional champions remain unwavering in their support of Wolfspeed and we're equally encouraged by the Trump administration's America First agenda and its emphasis on strengthening US supply chains, especially for silicon carbide technologies. Wolfspeed has long championed domestic manufacturing renaissance in semiconductors, particularly in North Carolina and New York, and we look forward to continuing alignment on these shared objectives. Putting it all together, when you combine US government support with the additional committed funding from our investor group, led by Apollo, Wolfspeed has access to a total of $2.5 billion funding package. At the same time, while we execute on these priorities, we continue to believe we are strategically undervalued, and the Board continues to examine ways to ensure that we are generating the most value for shareholders. That said, at this point, management's core focus is on executing against the priorities I've just outlined to improve our financial performance, strengthen the balance sheet and raise additional capital. Before I turn the call over to Neill, I would like to touch on our end markets and the competitive landscape. We acknowledge that over the past few quarters, both we and the entire market have faced challenges in demand. This quarter, revenue from Mohawk Valley was $52 million, which we expect will grow again in the third quarter with the continued ramp of our previously announced design wins. Similarly, we are making strong progress at the JP and we remain on track to receive a certificate of occupancy in the first half of this year. We are extremely pleased with the yields of our 200-millimeter wafers and the performance of our devices from these wafers. This is a key competitive advantage as we are the first to begin commercial production on 200-millimeter substrates. As these new facilities mature, and we see less impact from startup and underutilization costs on our financials, unit economics will improve significantly. For our key end markets, although broader macroeconomic pressures in a slower-than-expected EV ramp have challenged I&E and auto demand in recent quarters, we continue to aggressively pursue stronger markets, including renewables and AI data centers. Our previous design wins are ramping, and as such, our power revenue will continue to grow over the balance of the year, largely driven by our EV customers where companies like GM are investing in their EV programs to support the long-term transition taking place in automotive. Demand in industrial and energy applications is showing some green shoots, but visibility remains limited. While we're not out of the woods yet, we remain encouraged with what we are seeing so far. Our channel inventory has dropped significantly over the last few quarters and we have even more confidence given the long-term demand drivers behind AI and data centers where billions are being invested in renewable energy, which will continue to see demand as the need for electricity generation storage increases rapidly. Silicon carbide is homegrown. American innovation at its core, pioneered by Wolfspeed scientists nearly 40 years ago in Raleigh, North Carolina. Although the EV market propelled silicon carbide from a niche technology into a multi-billion dollar industry, we believe we're still in the early stages of realizing its full potential. Many of the world's most advanced technologies in markets ranging from consumer products to aerospace and defense to e-mobility increasingly require silicon carbide for high voltage solutions due to its ability to operate at higher voltages, with higher efficiency and with higher power density and with greater ruggedness in extreme environments. In these critical applications, reliability is paramount. The risk of failure is simply too great to depend on lower-grade materials, and this is why customers rate performance and quality at the top of their list when selecting a silicon carbide device partner. And we are continuing to deliver more innovative device solutions to customers. Last week, we introduced our new Gen 4 MOSFET, a highly flexible platform that supports long-term roadmaps for high performance, application-optimized products. This new platform allows design engineers to create more efficient, longer lasting systems that perform well in tough operating environments at a better overall system cost. Our Gen 4 platform will be delivered via our highly-efficient 200-millimeter wafers, which will enable us to deliver products on the scale not seen in this industry before. Turning to the broader competitive landscape, we continue to track key industry developments, including the US Trade Representative's recent 301 investigation into China's semiconductors policies. We recognize that these issues remain front and center for our investors and stakeholders. And by participating in this process, we anticipate government actions will help level the playing field for American companies, making significant investments in advanced technologies. Silicon carbide is critical to our national security. Wolfspeed has been at the forefront of advanced silicon carbide programs for US security. We welcome the US government's efforts to safeguard American interest as these measures are vital to preserving our competitive edge in semiconductors. Silicon carbide is homegrown American IP that fuels economic growth and creates well-paying jobs. We stand ready to engage and assist the US government as it advances their investigation. Now, I'd like to turn the call over to Neill to discuss our quarterly financials and guidance in more detail.
Neill Reynolds: Thanks, Tom, and good afternoon, everyone. Looking at our fiscal 2Q financial results, we generated $181 million of revenue for the quarter, slightly above the midpoint of guidance and down 7% sequentially. We recognized power device revenue of $91 million, down 6% sequentially, driven largely by ongoing weakness in the industrial and energy end markets. Despite the lower revenue levels, we saw our EV revenue grow 92% year-over-year and we expect to see increased revenue in EVs as we look out into the back half of fiscal 2025. Revenue contribution from Mohawk Valley was $52 million, up quarter-over-quarter, and we expect Mohawk Valley revenue to reach between $55 million to $75 million in the third quarter. We recognized materials revenue of $90 million, down 8% sequentially, driven by customers adjusting down their inventories to account for the current demand outlook. We expect materials revenue to trend in line with Q3 until end market demand begins to improve. Moving to our margins, non-GAAP gross margin for the second quarter was 1.8%, down 160 basis points quarter-over-quarter, but above the midpoint of our November guidance. This included $29 million or 1,600 basis points of underutilization costs, primarily related to Mohawk Valley. Gross margins were also impacted by lower factory production rates in our Durham wafer fab and Durham materials operations as we successfully executed a maintenance shutdown previously communicated last quarter and lowered factory output in line with a lower demand outlook. The financial impact of the maintenance shutdown and the lower factory production was in line with our expectations. This was partially offset by lower depreciation costs resulting from favorable 48D tax credit guidance issued during 2Q. Operating expenses were $108 million in the quarter, below the midpoint of our guidance and down $11 million quarter-over-quarter, as we continue to reduce costs as part of our restructuring and simplification efforts. Start-up costs in OpEx primarily associated with the JP materials facility were $23 million, an increase of $3 million versus prior quarter and in line with our outlook. Operating expenses, excluding start-up costs, are now down $23 million or 21% in the first half of fiscal 2025, and we expect to continue to reduce these costs during the second half of the fiscal year. Adjusted EPS of negative $0.95 was better than the midpoint of our guidance. This included an increase of 1.6 million shares on a weighted average shares outstanding basis related to our ATM equity offering. Excluding the equity offering, our EPS would have been negative $0.96, just ahead of the midpoint of our outlook. Regarding our balance sheet, we ended the quarter with approximately $1.4 billion of cash and liquidity on hand. This included approximately $91 million of the total $200 million ATM equity offering that was completed in January of this year. Including the $109 million raised in January after the quarter closed, our starting quarterly cash balance was $1.5 billion. Free cash flow during the quarter was negative $598 million, comprised of negative $195 million of operating cash flow and $403 million of capital expenditures. Operating cash flow was impacted by higher net working capital due to the timing of shipments in the quarter, cash restructuring charges and higher cash interest costs versus prior quarter, partially offset by improved profitability, driven by our cost reduction efforts. We expect to see significant improvement in our operating cash flow as we move into the second half of fiscal 2025 as we anticipate our cost-out measures, improved revenue linearity, stricter cash management and inventory reduction efforts will result in improved profitability and working capital performance. CapEx was $403 million during fiscal 2Q, primarily comprised of facilities investments into the JP Materials facility. As we wind down the construction phase, we expect capital expenditures to fall-off sharply in the second half of fiscal 2025, and we forecast capital expenditures in fiscal 2025 to be approximately $1.2 billion, with dramatically lower CapEx in fiscal 2026. As Tom mentioned, these levels provide us adequate runway to deliver sustained revenue growth. Last quarter, we outlined our financing and liquidity plans in conjunction with the announcement of a $2.5 billion funding package in line with our CHIPS grant preliminary memorandum of terms. This included $750 million grant, $750 million of additional private secured term loan financing, and approximately $1 billion in 48D tax credits. In order to receive the funding tranches of the grants, we are required to achieve both financial and operational milestones. From a financial milestone perspective, absent reaching some other accommodation, based on the preliminary terms, we are required to raise $300 million of non-debt capital and a portion of that to receive the first funding tranche, which we achieved by executing the $200 million ATM equity offering. In addition, we will need to address our convertible debt, which will be our next primary focus. Also, we will need to achieve operational milestones, which we remain on track to achieve. As it relates to the 48D tax credits, we have already accrued $865 million as of fiscal 2Q, and we have already submitted returns for $186 million of cash refunds from the federal government. We expect to request significantly more cash tax refunds under the 48D program in calendar 2025 when the JP goes into service this year, which we expect to receive in calendar 2026. Also tied to improving financial performance, we continue to execute on our company's simplification and restructuring efforts that we expect to contribute to $200 million of annual cash savings as well as driving approximately $150 million of liquidity in conjunction with non-core asset sales. The following is a status of the various initiatives related to those plants. The closure of the Durham 150-millimeter wafer fab remains on track to close in the second half of calendar 2025. The Farmers Branch 150-millimeter epitaxy facility was closed at the end of December and is being prepared for sale. The non-factory workforce reductions contributing to a 20% reduction in total company employment, along with the factory closures, remains on track with most of the reductions already completed at the end of fiscal 2Q. Lastly, we continue to work on our divestiture of non-core assets, which we expect to generate approximately $150 million of cash proceeds in calendar 2025. At this time, we have a clear line-of-sight to approximately $325 million of liquidity from our 48D cash tax refunds and non-core asset sales. In total, if you combine this with the first tranche of the CHIPS grant and the additional funding committed by our lender group led by Apollo, we have up to three quarters of $1 billion of liquidity going forward, giving us ample opportunity to work on the three priorities Tom outlined at the top of the call. Restructuring charges related to our company simplification and restructuring efforts are expected to be in the range of $400 million to $450 million in fiscal 2025, consistent with our previous communications. This included $188 million in charges recorded in fiscal Q2. Please see the attachment in our earnings press release, which includes a table detailing the charges for this non-GAAP adjustment. The fiscal 2Q charges were comprised of severance costs, asset impairment costs, including write-offs related to the Farmers Branch facility and the previously proposed Saarland facility, accelerated depreciation, asset disposition costs and other-related expenses. We continue to expect restructuring activities to be cash neutral in fiscal 2025 and start generating a significant amount of the annualized $200 million of cash savings in fiscal 2026. Collectively, these measures allow us to improve our unit economics, deliver substantial annualized cash savings and enhance cash generation capabilities, reducing our non-GAAP EBITDA breakeven point to under $1 billion on an annualized revenue basis. Finally, turning to our Q3 2025 guidance, we expect Q3 2025 revenue to be between $170 million and $200 million. We expect Q3 2025 non-GAAP gross margin of minus 3% to 7%. We expect Q3 2025 non-GAAP OpEx of $104 million to $99 million. We expect Q3 2025 non-GAAP EPS loss of $0.88 to $0.76, which also accounts for the impact of issuing approximately 27.8 million shares of common stock under our ATM program. Going forward, we expect our weighted average shares outstanding to be approximately 155 million as we exit fiscal 3Q. Thank you. And I will now turn the call back over to Tom for closing remarks.
Tom Werner: Thank you, Neill. Throughout the remainder of my tenure as Executive Chairman, I want to reiterate that our management team, Board and I are all aligned on executing against the key priorities I outlined earlier. Those are: dramatically improving the financial performance of the company and accelerating our path to generate positive cash flow from operations; second, aggressively pursue activities to strengthen our balance sheet; and third, raise the cost-effective capital required to support our long-term growth plan. Also, the Board continues to work on identifying a CEO to lead Wolfspeed in its next chapter of growth, and they are pleased with the current slate of candidates. We are confident that our collective focus will place Wolfspeed on a path towards long-term growth and profitability and to capture the multi-decade growth opportunity in silicon carbide, and therefore, more closely reflect the strategic valuation of the company. Thank you, and we will now move to Q&A.
Operator: We will now begin the Q&A session. [Operator Instructions] Our first question today comes from Brian Lee with Goldman Sachs. Your line is now open.
Brian Lee: Hey, guys. Good afternoon. Thanks for taking the questions, and welcome back in the saddle. It's been a long-time, but good to hear from you. First one I had was just on maybe the demand environment. A lot of folks worried about all the narratives around EV demand slowing and kind of long-term forecast. So, you guys have Mohawk ramping, maybe it's a bit slower-than-expected near-term, but I'd be curious, Tom, as you've been spending time with customers, what's the commentary been. What gives you confidence that medium- to longer-term demand will be there even as you fill Mohawk up to a fuller capacity level beyond where you're running right now? Then, I have a follow-up.
Tom Werner: So, thank you, Brian, and it's good to be back working with you again. So, on demand, first let me talk about EV and then I'll talk about I&E. In terms of EV, we think of it as slowing growth. So, it's still growing, but not growing as fast as we and others had projected. The other way we think about this, we think about this specific OEMs and specific models. And we have models that are ahead of the ramp plan that we thought or forecasted and there are other models that are ramping slower. And Neill can say a few words about the percentage -- or the models that we're in and the growth that we've seen. So, there are certain accounts though where we are -- or certain models where we are seeing demand increase. In terms of I&E, as I mentioned in the prepared remarks, we are seeing some green shoots, specifically AI, data centers, energy, and on other markets like that. So, we're in the early stages. We're also benefiting because we've lowered our channel inventory over the last few quarters. And so, that gives us a particularly strong tailwind in that market. Now, having said that, we don't see a V-shaped improvement in I&E, but we do see steady growth for us. Neill, do you want to add anything?
Neill Reynolds: Let me just add a couple of comments there, Tom. We mentioned in the prepared remarks that EV growth in last quarter and the 2Q fiscal quarter grew 90% year-over-year. We should expect that to expand 20% to 30% from EV perspective going into 3Q that would also be over 90% growth year-over-year. If you take a step back, we just have a broad number of models going into production across a number of geographies. So, as Tom said, as the adoption rate is lower than we expected, our customer base essentially is broad and diverse, and that's what's driving kind of that significant year-on-year growth and kind of a weaker backdrop. What that does give us is a certain level of diversity. So, when the market does come back with a number of models that we're shipping into, we've got a nice broad set of customers that we can ship into and take advantage of the market, EV adoption rates start to pick up again.
Brian Lee: Got it. One follow-up. I know you guys alluded to competition during the prepared remarks. I didn't hear anything maybe directly related to 200-millimeter SiC wafer capacity out of China. I feel like data points there continue to increase. So, I'd be curious again to hear your thoughts impact on the competitive environment given what's happening out there in China with respect to 200-millimeter. And then, what that does to your ability to sell merchant capacity out of Siler City? Are you kind of sort of behind peers at this point? Just any thoughts there would be helpful. Thank you.
Tom Werner: So, we're acutely aware of what's going on in the competitive space -- or with competitors, and we're also acutely aware of developments in China. In terms of specifically 200-millimeter, we are the only volume producer of 200-millimeter wafers and we're shipping thousands of them to our Mohawk Valley Fabs and we know the performance of the wafers and it's exceptional. So, we have a technology lead and we have the credibility of shipping thousands of wafers on per week. In addition to that, we have started to sample a number of customers and we are fully engaged with who you would expect us to be engaged with, the volume partners and the LTA partners. So, I think we're at the right place at the right time on 200. Neill, do you want anything?
Neill Reynolds: Nothing else to add.
Operator: Our next question comes from Jed Dorsheimer with William Blair. Your line is now open.
Jed Dorsheimer: Hi, thanks. Tom, I guess, first question is, I'm not sure if you caught any of the Senate confirmation. Sounds like you might have been busy on the operational side, but Howard Lutnick was getting grilled today and a lot of his commentary was around looking at CHIPS Act with respect to national security. And I know silicon carbide has been ruled that from a [CFIUS] (ph) perspective back in 2016. I'm just wondering if you could update us on, is obviously that's key to the liquidity part of the story, the transition phase and maybe share any context in terms of how that transition is progressing. And then, I have a follow-up.
Tom Werner: All right. Thank you, Jed, for the question. As I said in the prepared remarks, we are constructively engaged frequently with the CHIPS program office. And it's important to note that we're narrowing the issue list, which is usually a good sign when you're working on something like this. In terms of -- and we work closely -- have started work closely with the new administration. And we did listen to Howard Lutnick's testimony today. And it was important to note, he talked about everything Wolfspeed is, American technology, American manufacturing, thousands of American jobs, billions invested and important to national security, never mind AI, never mind the importance of things like going to Mars. So, if there's ever a fit for CHIPS -- ever maybe overstated, if there's a prototype of what you would want CHIPS to expand more of in America, we're it. So that gives us confidence as we engage with the new administration. We think we're completely aligned.
Jed Dorsheimer: Great. Then just as my follow-up, Neill, just sticking with the theme of liquidity here for a second, looks like spending falls off and you've done a good job to kind of throttle that back. As you did talk about some of the potential sources of cash, I didn't hear a 200-millimeter supply agreement is part of that. I'm just curious, have things changed. Are you still in discussions in negotiating the potential for that? Maybe just update, or if that was purposely missed or whether or not -- what the expectations around an additional agreement might be? Thanks.
Tom Werner: So, Jed, I'll say a few comments and then we'll let Neill answer the majority of the question. So, we are managing 150 in terms of an inventory correction with our LTA, long-term agreement, partners, and we expect that the volume commitments will be fulfilled just over a long period of time. As we think about 200, of course, we're working with those same partners and others. And as the only company that's producing 200-millimeter wafers in volume, we're the logical partner. And so, they are -- they two come together. In terms of timing, there's nothing to announce now, but there's constructive work being done that will bear fruit we believe in this calendar year. Neill, maybe you can comment further.
Neill Reynolds: Yeah, just in terms of -- I think that's one element of it, Jed, but just kind of go and hit a little bit further on the first comment you made there in terms of driving towards our liquidity goals, first things first, and I think Tom laid it out in the prepared remarks. Driving better financial performance and execution is kind of step one here. And you can see the results from the restructuring and the simplification program that we put into place, that's already generating results. We've seen the OpEx come down. And I think if you look into the second half of the year, we'll see nice performance in operating cash flow as a result of some of the working capital and the stricter cash initiatives that Tom laid out on the call. So that's kind of step one, focus on that consistent operating execution and financial performance. Now, in addition to that, we laid out a couple of other things. The first one is that we have clear visibility to roughly $325 million of liquidity between the 48D tax credits, which we've already completed our returns for, and we've been in conversations and correspondence with the federal government on those. Those have been received and they're being processed. In addition, we're making progress on the $150 million of asset sales. So, there's $325 million-plus related to that element. And on top of that, we continue to work the CHIPS grant working with the CHIPS office closely, and that would result in another big portion of the grant or a solid portion of the grant along with the term loan financing for another more than $400 million. So, more than three quarters of $1 billion of visibility in terms of liquidity. So, step one, let's drive the operational performance, and then step two, we've got liquidity plans that we're focused on.
Jed Dorsheimer: Great. Thanks, guys.
Operator: Our next question comes from George Gianarikas with Canaccord. Your line is now open. George, your line is now open.
George Gianarikas: Hello. Can you hear me?
Tom Werner: Yeah, we can hear you, George.
George Gianarikas: Hello?
Tom Werner: We can hear you.
George Gianarikas: I'm sorry about that. Thank you. So, thank you for taking my question. I'd just like to ask about your revenue breakeven. I think you said under $1 billion. If you could just sort of help us understand exactly when you think that's achievable, and how realistic you think those revenue targets are in the current environment? Thank you.
Tom Werner: George, I'll take the first part -- I'll say a few words and Neill will probably add something. So, the first cost reduction program is ahead of plan that takes $200 million of cash improvement out of the company and gets us to lower than $1 billion of breakeven. We have initiated another look at the company. This time we are taking a fresh look as if we started the company from scratch, and we are looking at two businesses, the materials and powered business, and we are saying what would we build that business like from the ground up. That is likely to yield some efficiencies although we are in the beginning phases of that. And that is because we're going to be cautious about demand despite the fact that we believe -- despite our belief that we will see progressive or sequential growth in our power business over -- throughout the year. But we want to take sort of a cautious look at revenue and base our expenses off of that, and that's what the second cost program is. And maybe Neill, you want to add something?
Neill Reynolds: No, I think that's exactly right. I think our first and primary focus is to execute our operational initiatives around simplification of the business, driving our device business on to 200-millimeter, simplifying the business and driving the cost-out initiatives and the stricter cash management. I think that's step one. And then, from a revenue perspective, we are seeing power device revenue grow into the back half of the fiscal year and we'll continue to see that grow. I agree though in terms of industrial energy, in terms of materials, the visibility is somewhat limited, but we are seeing growth into those periods. And as that revenue continues to grow along with these operational initiatives, that will give us a better kind of line of sight to breakeven points in operating cash flow out in time.
George Gianarikas: And maybe as a follow-up, you traditionally discuss design-wins and design-ins. How have those been trending and has the current state of your financials impacted customer interest? And thank you.
Tom Werner: So, first, design-wins and design-ins, we published a set of slides on our website. It's got one of those two numbers, but I can give you the numbers for the quarter. It's [$1.475 million] (ph) for design-ins and $795 million for design-wins. And I do want to point out cumulatively design-wins, which is 20% of first-year revenue is the definition, is $12.2 billion cumulatively. And then, in terms of your second question, we are completely transparent and we are constantly communicating with our key customers, our OEM customers and customers like Arrow who are critical to our business, and we are completely aligned on the path forward for the company. And we're talking about how -- in some cases, how do we increase supply for key parts of their business. And they see things like our Gen 4 release that we just announced recently and they see the investments that we've made paying off in R&D. And then, it's important to note as I listen to this call that our CapEx is largely implemented. So, we said close to zero new capital commitments, which means that the exact -- the existing capital commitments we made can satisfy meaningful demand increase and can satisfy our customers' demand. So, the profile of the company is substantially different as we look at it going forward and we are completely transparent and aligned with our customer partners.
Neill Reynolds: And just to clarify, that's $1.5 billion of design-ins and almost -- about roughly $800 million of design-wins that have gone in this quarter. And Tom talked about the cumulative numbers that we have there. So, I think we see what -- a large table of what we've talked about before design-ins. We see a large table of those transitioning into design wins. But our focus right now goes back to the operational execution and transitioning those into real orders and shipments out of our factories.
Operator: Our next question comes from Samik Chatterjee with JPMorgan. Your line is now open.
Samik Chatterjee: Yeah, thank you for taking my questions. Maybe to start with, in terms of the revenue contribution from Durham, which you're winding down, seems to us relative to the guidance you provided last quarter, the revenue from Durham did track towards the -- on the power products side, did track towards the higher end or higher than what you were sort of implying, and Mohawk did have more muted sort of increase. The question really around that is, are we seeing a slower transition for some reason than you had expected 90 days ago? And is that sort of any change to the timeline relative to maybe how the ramp-down of Durham sort of feeds through the year? And for my follow-up, really the question is more around the CHIPS Act funding, which you mentioned the two things that you need to work on. One is the convert, and then you have some operational milestones to achieve. If you -- I guess you won't really talk about what those operational milestones are, but can you give us some sense about what is the timeframe in which you expect to achieve those operational milestones? Thank you.
Tom Werner: Okay. So, let me kick things off first. The answer is yes, we are on track to close North Carolina fab per our previous guidance, which is second half of this year. Second part of that is, we, of course, forecasted demand for the fab and the forecast -- or the actual demand that we've seen is higher than what we forecasted. The good news is we're seeing efficiencies -- the team is doing a fantastic job and we're seeing efficiencies as we satisfy that demand and we can satisfy that demand in a positive cash flow manner. So, on track and going well. In terms of design conversions to our Mohawk Valley Fab, we've actually got a corporate objective to accelerate design conversions to our Mohawk Valley Fab and our plans are being implemented to significantly accelerate because these are customers that we want to work with for the long-term and they'll benefit from the better economics of our Mohawk Valley Fab. I think I got your questions there. If not, Neill will make sure we cover them. On the CHIPS Act, Neill will cover that in more detail, but an important milestone is the certificate of occupancy for Siler City, which we expect to happen by middle of this year. And it's important to note that despite close to zero new capital commitments, we will complete Siler City. So, I wanted to double emphasize that. Neill?
Neill Reynolds: Yeah. So, just to clarify, just on the North Carolina to Mohawk Valley transition, I wouldn't read into the levels of revenue between Durham and North Carolina fab. There are parts that are transitioning now, so there are certain lots of inventory that are going to ship out of Durham that are co-qualified at Mohawk Valley. So, you could see a little bit of mix variation between the two factories. I think the thing to focus on though is a heavy amount of EV volume coming on quarter-over-quarter as you go from 2Q to 3Q, and a lot of that will come out of Mohawk Valley. And at the midpoint of the guidance we gave, that's 20% or 25% increase in Mohawk Valley revenue quarter-over-quarter, which I think kind of underpins the ramp that we're seeing there and the ramp that we're seeing on EV. So, continued process and progress that Tom mentioned in terms of qualifying and transitioning parts over to Mohawk Valley. And agree on the CHIPS milestones from an operational perspective, very high confidence to reach the operational milestones, early in calendar 2025.
Operator: Our next question comes from Jack Egan with Charter Equity Research. Your line is now open.
Jack Egan: Great. Thanks for taking the question. So after the -- over the past few quarters, there have been quite a few puts and takes on your revenue mix between automotive and industrial. And on this call, you mentioned that automotive will grow through 2025. So, I was wondering if you could just level set us on how your device revenue breaks down by end market right now, and then also maybe go over how that might change over time just as a result of consolidating your fab footprint into Mohawk Valley. And then, I had a follow-up.
Tom Werner: Hey, Jack, consistent with the other questions, I'll say a few words and then turn it over to Neill. So, in fact, you're right, over the last year or two, the mix has gone from almost all I&E and a smaller percentage of auto to the inverse. I think we'll see that stabilize a little bit as we go forward as I&E, as we said, we're seeing some green shoots. I'll let Neill to mention it a little bit.
Neill Reynolds: Yeah, I think that's exactly right. I think we've seen the mix shift from heavy I&E to heavy automotive. Right now, in the North Carolina fab, we're winding down our EV presence or EV shipments that are coming out of the fab. Most of our drivetrain parts have had their final shipments coming out of the North Carolina fab. We're seeing some alternative other applications outside of the drivetrain still shipping out of there at this point in time. Should see those winding down in the kind of first half of calendar 2025 and you'll start to see more and more EV out of Mohawk Valley, but we're also transitioning the I&E portfolio there as well. So, as we start to see some of these I&E products and applications start to transition over to Mohawk Valley and the market picks up, we'll start to see that balance come back to -- over time, back to a 70-30 split, EV and I&E revenue over time.
Tom Werner: Hey, Jack, I did wanted to mention, I forgot when I talked about I&E previously, that the artificial intelligence data center is a big driver, energy, in general, because demand load growth is the highest it's been in decades. And then, from my previous market that I was in, battery energy storage is another increasing market that's driving the I&E and that will result in the mix that Neill mentioned. And we're ready for your second question.
Jack Egan: Great. Okay, thanks. That's helpful. I guess, a bit of a longer-term one here then. I was hoping you could talk a bit about wafer thickness. So, some competitors toward the end of last year announced that their 8-inches wafers will be 350 microns thick versus the typical 500 micron thickness. And I believe Wolfspeed has that product in development to thinner wafers and maybe potentially qualification, too. So, I'm just curious as to how Wolfspeed's progressing in the development or qualification of that. And then, I was wondering about the thinking there as it relates to both the wafers that you are using internally at Mohawk Valley as well as the external materials that you are selling to customers in the materials business.
Tom Werner: Yeah, I'll comment on -- and we may keep this brief because we don't have a lot to say, some of what you're asking about, we want to limit our comments, but I'd say that, yes, we are developing 350, and yes, we can sample it, and yes, we will convert over time to 350 in our internal operation. We have not converted yet.
Operator: Our next question comes from Craig Irwin with Roth Capital Partners. Your line is now open.
Craig Irwin: Thank you for taking my questions. So, Tom, it's nice to have your 19 years of history with Wolfspeed. I guess the first decade you were on the Board, the silicon carbide power business, so there was a line item nobody really cared about. I guess, the company obviously cared, but there was a very interesting level of support, I guess, even from the early 90s, from the US government for that business. Is there any reason to think that the interest and support for that business has changed over the last year? I mean, we did see additional funding into that business from the US government this last year in form of a grant. Do you think the appetite for these customers is growing or shrinking given the general impact from power across all areas of the economy?
Tom Werner: Growing, and meaningfully so. And you're right, the company has a long history of working with the US government and that continues today and we benefit from that because we know how to partner and how to -- how the government works and we know how to get things done. And as you pointed out, there's a technology shift to higher voltage, higher power, higher switching frequencies, which are exactly what we do well. And of course, we practically invented this market. We were founded 40 years ago and as I mentioned, founded out of North Carolina state. So, if you think about the defense agencies and what they'd want, they clearly want an American supplier. So, we've got the credibility of four decades, the history and the shift in technology to applications that need silicon carbide. So, a definitive strengthening or broadening.
Craig Irwin: Thank you. My second question is about competitive dynamics. So, there's an assertion that's made out there that companies can switch suppliers. And I think it's oversimplified as far as the quality of product available at other OEMs, at other semiconductor OEMs. And the challenges in changing suppliers, I think, are underappreciated. Could you maybe give us some color on what makes Wolfspeed chips special? What the challenges are for requalifying with another supplier? And why we've seen your business be so sticky during this period of uncertainty as you work through repositioning the balance sheet? Normally other companies would see a fairly substantial drop in their revenue, but your revenue has actually held in pretty well, consistent with guidance and has actually surprised me for this quarter, given that the challenges have been very public.
Tom Werner: So, this is one that Neill will probably want to do a follow-up on, or at least potentially say. So, I'll say a few things. The importance of the material quality to device performance is unbelievably clear and they are inextricably tied together. So, the quality of the wafer that you make a device out of will determine the characteristics of that device and can have as much as a 20% delta in yield. So, switching material suppliers is risky business, because it has a big impact on -- can have a big impact on your yields. And as we partner with customers and, of course, we isolate the materials business, as we partner with customers, you can only make that better. We can correlate material quality to device parameters and we only get better over time as we work together. And so, the switching cost becomes higher over time. And then, as you alluded to, we have long-term agreements with almost all of our 150-millimeter customers. And, of course, those are constructively -- we are working together as partners. In some cases, they may be spread out longer in time, but that's primarily what's happening in that market.
Neill Reynolds: Yeah, and I'd just add to that, Craig, if you look at devices that when we get these design-ins, we're working with these customers for several years on integration of our parts and the performance of those parts in either modules or in their systems. So, if you look at just the breadth of what we were talking about in terms of we are seeing growth through a tougher cycle. And part of that is that we've got good engagement and good integration with our customers based on the things that Tom talked about having good quality substrates, access to supply for those substrates over the long-term, having control over the integrated supply chain and having that capability across the portfolio. So, that does create some stickiness with our customers and I think the breadth of those things and the breadth of the customers that we're working with kind of shines through even in a maybe a tougher backdrop from a demand perspective.
Tyler Gronbach: Operator, we have time for one more question.
Operator: Absolutely. Our final question will come from Harsh Kumar with Piper Sandler. Your line is now open.
Harsh Kumar: Yeah. Hey, guys. Thank you for squeezing me in. I had just two simple questions. I just wanted a clarification. I think Neill or Tom, you might have mentioned that your breakeven for revenues will be $1 billion or a little under $1 billion call it. Does that -- the $250 million a quarter number, does that include startup and underutilization costs? That's a clarification that I wanted. And then, you also said that your CapEx will fall quite dramatically. Is it possible for CapEx to fall close to zero next year outside of maintenance CapEx? And then, I had a quick one another one.
Neill Reynolds: Yeah. So, thanks, Harsh, for the question. Yes, it's fully inclusive of the full P&L. So, when I talk about the EBITDA and the operating cash flow, that's what we're talking about. From a CapEx perspective, the way to think about that next year is we gave about, I think, it's like -- a target of $200 million to $600 million if you look at fiscal year '26. I think we're at the low end of that range or lower from a gross perspective, and we have the flexibility to continue to take that down. And based on what Tom said, still have the ability to significantly ramp the device portfolio because we'll have a significant amount of utilization available to us coming out of Mohawk Valley and behind that from a substrate perspective. So, we'll be able to see that come down. Now, the second thing I would add to that is we'll go back to the 48D credits. We talked a lot about the near-term of what we've already essentially sent in returns for and expect payment for from the federal government in the short-term. In the longer-term, when the JP comes online in the first half of this year, next year we will essentially send an invoice or put it in our return to the IRS for north of $500 million of 48D tax credits as you look into 2026. So, we talk about those gross numbers. There's a significant amount of funding that can come in from 48D to even offset those. So, yes, the answer is you can get down from a gross perspective we can drive that down and then from a net perspective after federal incentives that can go down to zero or even lower.
Harsh Kumar: Okay. Got it. Thank you. And then, question on the underutilization charges on the start-up costs, at what point in time as a company in totality would you expect these to go away? Is that a function of time, or is that a function of revenues? And if it's a function of revenues, what number are we looking at for JP and Mohawk Valley combined?
Neill Reynolds: Yeah. So, it's a function of both. It depends on how fast you ramp the company. And as we ramp revenue over time, we'll start to see the startup on the underutilization costs start to fall away. You can think about 70% utilization target being kind of a point in which we think them all kind of -- all of the underutilization and startup kind of -- all kind of fading away and we'll just kind of see them linearly start to fall off as we start to get to those levels of utilization.
Harsh Kumar: Thank you, Neill.
Tom Werner: Yeah, I want to end it here. We appreciate you joining us for the call. I'll end with a repeat that we're intensely focused on improving the financial performance of the company, improving our balance sheet and economic investment in the company and we look forward to updating you over the quarter and the next call. Thank you very much.
Operator: That will conclude today's conference call. Thank you all for your participation. You may now disconnect your line.